Operator: Good day, and welcome to the Orion Group Holdings Second Quarter of 2024 Conference Call. [Operator Instructions] Please also note that this call is being recorded today. I would now like to turn the call over to Margaret Boyce of Investor Relations. Please go ahead.
Margaret Boyce: Thank you, Joe, and thank you all for joining us today to discuss Orion Group Holdings' second quarter 2024 financial results. We issued our earnings release after market last night. It's available in the Investor Relations section of our website at oriongroupholdingsinc.com. I'm here today with Travis Boone, Chief Executive Officer of Orion; and Scott Thanisch, Chief Financial Officer. On today's call, management will provide prepared remarks and then we'll open up the call for your questions. Before we begin, I'd like to remind you that today's comments will include forward-looking statements under the federal securities laws. Forward-looking statements are identified by words such as will, be, intend, believe, expect, anticipate or other comparable words and phrases. Statements that are not historical facts are forward-looking statements. Our actual financial condition and results of operations may vary materially from those contemplated by such forward-looking statements. Discussion of the factors that could cause our results to differ materially from these forward-looking statements are contained in our SEC filings, including our reports on Form 10-Q and 10-K. With that, I'd now like to turn the call over to Travis. Travis, please go ahead.
Travis Boone: Thank you, Margaret. And good morning, everyone, and thank you for joining our second quarter 2024 conference call. I'll start with an overview of our second quarter results, recent wins and a market update, and then I'll turn it over to Scott to cover our financial results. In the second quarter, we generated revenue of $192 million and adjusted EBITDA of $5.5 million. As we discussed over the past two quarters, we anticipated a slower ramp-up with two large projects over the first half of the year. We don't like surprises and recognize that we fell short of consensus. We have been transparent about what we were seeing ahead. There's nothing more important to me than doing what we say we will do. This is a short-term challenge. We have an incredibly talented team and a strong foundation with a huge market opportunity ahead. While we had some logistical setbacks late in the quarter, our Grand Bahama Shipyard Dry Dock project is now back on track, and our teams on the Pearl Harbor project are working double time to get back on schedule. In construction, work delays beyond our control are not uncommon and can sometimes cause our results to vary from quarter-to-quarter. While the total value of the contracts remain unchanged, revenue recognition will shift. While these delays are not expected to have any impact on the critical completion of these large projects, they will affect our full year 2024 financial results. For this reason, we are lowering our annual guidance to a revenue range of $850 million to $900 million and an adjusted EBITDA range of $40 million to $45 million. We are still on target to deliver a very strong second half on a comparable basis. More importantly, our long-term outlook remains very strong. We are no less confident about our ability to grow and perform in our business. We continue to add attractive projects to our backlog and our pipeline of opportunities have increased to more than $14 billion. This puts us in a great position for an outstanding 2025. Our market is developing as we thought it would. Activity is ramping up and will continue over the coming years. Our business development efforts translated into some noteworthy second quarter wins in both Marine and Concrete segments, including our first large Orion Concrete Award in Florida since expanding our concrete business there. In addition to the awards previously announced, so far in July, we have won a total of $118 million in work across both segments, bringing our total backlog and awarded work to $876 million. For our Marine business, we announced an $80 million contract with a long-standing customer, Port Everglades in Fort Lauderdale. The scope of work includes the replacement of over 2,000 linear feet of aging steel sheet pile bulkhead walls, including large diameter combi-wall systems, soil anchors and encapsulated concrete caps. This project has started and will continue through next year. We also announced a $20 million project for our long-time customer, Port Tampa Bay. We have a 40-year relationship with Port Tampa Bay and have completed several projects with them over the last 10 years. In this project, we are building a new berth that will include additional breasting dolphins connected to the walkways and onshore high wind mooring points. This marine project is a prime example of the infrastructure upgrades needed throughout our country's ports to improve and expand port capabilities. Turning to our Concrete segment, we won our first large award since expanding our concrete business to Florida. It is a $28 million contract for Costco Wholesale through Southeast Industrial Construction as general contractor. The project is for the new construction of the Port St. Lucie Costco Depot Phase 1, a pivotal distribution center located in Southeast Florida, one of the nation's fastest-growing regions. This facility will be one of Costco's largest distribution centers and our 16th project with Costco today. This is a reputation building project in the Florida market. Orion Concrete was also awarded a significant data center project in North Texas by a major hyperscaler. While details cannot be fully disclosed, the scope is in the range of $15 million. Our competitive advantage in winning data centers is not only our experience and the high quality of our work, but also our unmatched safety record, which is extremely important to data center owners. We have an extraordinary culture of safety and for two consecutive years, our team has had zero lost time incidents. In addition to the wins previously announced, during July, we won several notable projects in our Concrete and Marine segments. In Marine, we won a $28 million construction project at the Clearwater Beach Marina, a $28 million construction project for Port of Galveston, and a $29 million dredging project for the U.S. Army Corps of Engineers. In Concrete, we won a $16.5 million tip wall project in South Texas and two additional data center projects for $8 million and $5 million, our 23rd and 24th data center projects. Looking forward, the data center market is going strong at a time when commercial development work is slowing in this higher interest rate environment. The massive data center market is filling, helping to fill the gap, and we feel good about our ability to continue to be successful in this area that is being driven by the AI juggernaut. Demand for marine construction work is increasing and is perfectly suited for our expertise. We expect multiple strong tailwinds to drive our Marine business going forward. These include significant investments by the U.S. Navy to deter potential Chinese expansion in the Pacific, the $1.2 trillion infrastructure bill, capital projects for expansion of port facilities along the U.S. Coast, coastal restoration and numerous large opportunities in private investment for alternative fuels like LNG, methanol and ammonia, primarily along the Gulf Coast. We expect to see project volume ramp up in 2024 through 2025 and the investments we are making to improve our fleet, our systems and our teams will enhance our competitive position. As we enter the second half of the year, I continue to be optimistic about our future. Together with our teams, we've made great strides in strengthening the foundation of our company. By instilling disciplined processes, investing in business development, training in IT systems, we are much stronger today. Our teams are aligned on the same mission, delivering predictable excellence through outstanding execution. We look forward to delivering improving results for our stakeholders. I'll turn it over to Scott for the financial review. Scott?
Scott Thanisch: Thanks, Travis. In our second quarter, we generated revenue of $192.2 million, up 5% over last year. As Travis mentioned, projects that were delayed in the first half are back on track, and we expect revenue to ramp in the second half of the year. Similar to last quarter, the mix of revenue continued to shift. Marine revenue was up 30%, while Concrete revenue was down 25%. This change in mix reflects our focus on Marine segment growth opportunities as well as the disciplined bidding standards we adopted to win quality work at attractive margins in our Concrete segment. Second quarter gross profit margin increased to $18.3 million or 9.5% of revenue, up from 13.8% -- $13.8 million or 7.6% of revenue in the second quarter of 2023. Both segments increased both gross margin dollars and gross margin percentage over the prior year. The 190 basis point increase in consolidated gross margin was primarily driven by improved pricing of high-quality projects and improved execution in both segments. SG&A expenses were $21.1 million, up from $18.1 million in the second quarter of 2023. As a percentage of total contract revenues, SG&A expenses increased to 10.9% from 10%. The increase in SG&A dollars and percentage of revenue reflected an increase in compensation expense, business development spending and legal cost. Over the next few months, we will be rolling out new IT tools and processes for our operations and our back office. These tools will share information and provide insight to the progress of our projects, improving our ability to effectively manage these projects on the ground. We are also migrating our business segments to the same financial platform, delivering efficiencies and greatly improving our line of sight across the entire business. Turning to profitability, we reported an adjusted net loss of $5.2 million or $0.16 per diluted share in the second quarter compared to an adjusted net loss of $4.5 million or $0.14 per diluted share in the prior year period. The second quarter net loss included $1.4 million or $0.04 per diluted share of non-recurring items. Our GAAP net loss for the second quarter of 2024 was $6.6 million or $0.20 per diluted share. EBITDA for the second quarter was $3.3 million, and adjusted EBITDA was $5.5 million. Adjusted EBITDA margin was 2.9%, up from 2% in the prior year period. Moving on to bidding metrics. In the second quarter, we bid on approximately $1.3 billion worth of opportunities, winning $194 million. This resulted in a contract value weighted win rate of 15.2% and a book-to-bill ratio just over 1x for the quarter. As of June 30, our backlog was $758.4 million compared to $756.6 million at March 31 of last year and $818.7 million at June 30th of this year -- I'm sorry, June 30th of last year. Breaking out our second quarter backlog, $567.1 million was in our Marine segment and $191.3 million was in our Concrete segment. During the second quarter, adjusted EBITDA margin in the Marine segment was 1.1% compared to 3.4% last year. Adjusted EBITDA margin in our Concrete segment improved to 6.6%, up from 0.3% in the second quarter last year. As a reminder, our goal is to generate adjusted EBITDA margins in the low-double digits from marine and high-single digits for concrete. We've been pleased with the progress of our Concrete segment since they returned to EBITDA profitability a year ago. Everything starts with winning the right jobs with good margins. With this better starting point, our project teams have implemented new field practices focused on delivering projects to our customers more efficiently and at better-than-bid margins. Margins in our Marine business retreated somewhat this quarter, largely a result of unabsorbed costs related to delayed projects and lower margins in our maintenance dredging business. We expect to see marine margins improve in the back half of the year as activity levels increase. Turning to the balance sheet. As of June 30, we had $4.8 million in cash and total debt outstanding of $60.3 million. We had $21 million in outstanding borrowings under our revolving credit facility at the end of the quarter. In June, our East West Jones deal with the last buyer did not close and was terminated. While this is disappointing, we are confident that the difficulties in closing this sale have been related to the interest rate environment and not due to the lack of interest in the property. Throughout this sale process, we've had multiple serious buyers, a good due diligence has been completed without identifying any remediation or related issues specific to the property. On July 2, we entered into a purchase and sale agreement with Capital Development Partners for the East West Jones property for $30.5 million with an anticipated close on or before September 30, 2024. We remain confident that we will close this sale to free additional liquidity to fuel our growth. As Travis mentioned, we anticipate growing our backlog and the top line substantially over 2023. We expect revenue to ramp up, and we will see a nice increase in cash flow in the back half of the year. At the same time, we plan to continue to improve margins by managing the business more effectively, more efficiently and more productively. For the full year 2024, we are lowering our guidance both for anticipated revenue in the range of $850 million to $900 million and expected adjusted EBITDA in the range of $40 million to $45 million. And with that, we'll open up the call for questions.
Operator: [Operator Instructions] And our first question here will come from Aaron Spychalla with Craig-Hallum. Please go ahead with your question.
Aaron Spychalla: Yes. Good morning. Travis and Scott, Thanks for taking the questions. Maybe first for me on the two large projects, can you just give a little bit more detail on the logistical setbacks at Grand Bahama and some of the issues in Hawaii that you're working to get back on schedule. Just confidence there. And it sounds like really not any changes to overall profitability on the projects per se, just more timing where you can still make that up?
Travis Boone: Sure. Thanks, Aaron. Yes. So I'll start with Grand Bahama shipyard project. That one, we did have a delay with one of our subcontractors getting on site. Fortunately, it was a critical path work. They did get on site in the -- late in the second quarter and got their work finished in early July. So we were able to catch up there without impacting the overall projects, just a bit of a delay in some of the revenue. And then on the Hawaii project, we talked about a few of these before, but we had some issues early in the year with the Panama Canal and delays getting material deliveries through there from -- with our piles that are coming from Houston and going to Hawaii. And then we've had some other hiccups, if you will, related to some work that needed to be done before we did our work, that wasn't completed on time. And so we were in a bit of a waiting scenario, waiting to be able to get our work done. So in both cases, it was issues out of our control. And we've done everything we can to catch up on the Hawaii project, and we'll continue to push forward on that one and feel good about where we're going to be able to finish for the rest of the year.
Aaron Spychalla: All right. Thanks for that. And then maybe second, just on the Navy opportunity, saw the $15 billion RFP that came out. Can you just talk about the process and time line there? And then just broadly, the overall opportunity with the Navy in the coming years? Is there still opportunities additional that are outside of that RFP for you as well?
Travis Boone: Definitely, that was the -- that RFP that came out was the PDI MACC, which stands for Multiple Award Construction Contracts. It's a $15 billion contract, they'll select three contractors for the work there. Timing is, we'll be working on the proposal here for several months. I think they're anticipating selection late this year or early next year. And basically, that's one of multiple MACC contracts and other contracting mechanisms the Navy is using for the billions of dollars that they're going to be spending in the Pacific. So that's just one of multiple different contracts that are -- that we've either already pursued or will be pursuing in the coming months. So there's quite a few of those out there like that.
Aaron Spychalla: All right. And then just maybe last one. You mentioned a $20 million dredging project for the Army Corps, are you starting to see that market come back a little bit? And then just maybe talk about how you're managing your equipment fleet there given market dynamics?
Travis Boone: Yes. We're still seeing that market disrupted. It's not -- still not returning to what was the norm a couple of years ago still been fairly slow with new projects coming to bid. So it's continued to be a challenge for us. Fortunately, we've been able to keep our dredges busy on doing some private work and a few other contracts that we won earlier in the year and last year with the core. So we'll obviously continue to pursue those projects when they do come out. And at some point, it will get back to normal because it's maintenance dredging that has to happen. And so there's -- that work never ends. It's an ongoing process to maintain the shipping channels and the intercoastal waterways.
Aaron Spychalla: Thanks for taking the questions. I'll hop back in queue.
Travis Boone: Thanks, Aaron.
Operator: And our next question will come from Julio Romero with Sidoti & Company. Please go ahead with your question.
Julio Romero: Thanks. Hi, good morning. Maybe to start on the guidance range, still implies even at the low end of the sales range, very strong year-over-year growth in the third and fourth quarters. Can you maybe speak to the confidence in hitting the lower end of your guidance -- of your sales guidance? And then secondly, the kind of the -- if you could help us out with the cadence of sales expected for the third and fourth quarters?
Travis Boone: Sure. So we do feel really good about the second half of the year. There's a large amount of work happening in our Atlantic division in Florida in the Caribbean, that's really cranked up in the last half of the year. And then obviously, we've got the Hawaii project that's gaining momentum, and we expect strong performance there for the rest of the year. Additionally, we got multiple opportunities that we're continuing to pursue throughout our operating areas in both concrete and marine. So we're feeling good about the second half of the year and...
Scott Thanisch: Yes. And when it comes to how it kind of develops out, the second quarter, you'll see a pretty substantial increase over the -- I'm sorry, the third quarter, you'll see a pretty substantial increase over the second quarter, and then it will kind of hang at that pace in the fourth quarter. So we expect it to develop -- it will increase a little bit as we go through the year, but the big jump is in the third quarter.
Julio Romero: Okay. Thanks. That's very helpful there. And then how does the guidance change on the sales and EBITDA lines translate to the EPS guidance on both GAAP and adjusted?
Scott Thanisch: How does the guidance change on the EBITDA line? In terms of dropping it $5 million, recognizing a little bit that there's the impact of what we've seen in the second quarter, we think that we can offset a lot of that as we continue to improve the performance of those delayed projects. So as we think about the full year EBITDA range, we feel pretty confident about where you've cited at the new level.
Julio Romero: Got you. Sorry, just to clarify, I mean, how does that translate to the EPS guidance that you had from GAAP earnings per share and adjusted earnings per share?
Scott Thanisch: Sorry, I misunderstood you. Yes, I believe there's a reconciliation in the press release that gives you kind of the walk down from the various lines down to EPS. So that should give you the components.
Julio Romero: And that's -- I'm sorry, that's for the guidance.
Scott Thanisch: Yes. There's a reconciliation of the guidance range in the press release.
Julio Romero: Okay. I'll take another look, I guess afterwards for that. And just last one for me would be, you talked about the opportunity pipeline now standing at $14 billion and then how that sets you up for 2025. Can you maybe expand on that a little bit? And how does that opportunity pipeline kind of sets you up for order growth over the next two quarters? And then how would you have us think about the sales growth in '25? I know it's early stage, but any thoughts there?
Travis Boone: Sure. You may remember on our last call, we talked about our pipeline being around $11 billion -- just over $11 billion. It's increased $3 billion since our last quarterly call. So it's definitely -- and it's increased multiple millions over the past year, which indicates more and more opportunities out there for us to pursue. And again, it's a constrained market in the marine space. And so we feel really good about the number of opportunities that are out there. And that pipeline is primarily marine business just because our concrete work is a shorter visibility to that. So the majority of that pipeline is concrete project -- or is marine projects, sorry.
Julio Romero: Okay. Great. I'll pass it along. Thanks so much.
Travis Boone: Thanks Julio.
Operator: And our next question will come from Alex Rygiel with B. Riley Securities. Please go ahead.
Min Cho: Hi. Good morning. Travis and Scott, this is Min for Alex. Just couple of questions. So you did talk about the opportunity pipeline growing. Can you talk a little bit about what the kind of bulk of that increase is from? Is it for more federal funding, just kind of new geographies? Just any details there.
Travis Boone: It's not really new geographies, and we've stayed pretty consistent with the geographies that we work in. And so it's not necessarily increasing geographies, it's more increasing opportunities with clients. Yes, a lot of it is federally funded or federal projects, whether it's for ports or DOTs or for DoD clients like the Navy and Army Corps of Engineers. There's quite a few opportunities that are showing up on a regular basis for us.
Min Cho: Okay, excellent. You mentioned that you've won a couple of data center projects, and they seem a little smaller in size in general. Just want to talk about margin relative to your segment margin targets. Are they at the lower end or higher end or just pretty much right within that target range?
Travis Boone: We have minimum bid margins that we hold steady on and then different projects, there's different margins. Generally speaking, our data center projects provide good margins at the end of the job, and we've been able to perform them very well.
Min Cho: Okay. And then finally, you mentioned the new -- the concrete award in Florida for Costco. You also mentioned that this is just Phase I. So can you talk about what the opportunities are there with Costco and just maybe in Florida in general?
Travis Boone: Yes, there'll be a large Phase 2 on that project as well that we're pursuing, obviously, and hope to bring in the door. But there's opportunities with quite a few different companies, Costco and others, that we did actually just win another Costco project in Texas yesterday. So we're continuing to add into the mix there, whether it's Costco or other clients that we work with on a regular basis that continue to add to our backlog.
Min Cho: Okay. Thank you.
Travis Boone: Thanks Min.
Operator: [Operator Instructions] Our next question will come from David Storms of Stonegate Capital. Please go ahead.
David Storms: Morning. Thank you for taking my questions.
Scott Thanisch: Morning David.
David Storms: Just wanted to try to get a sense of how we should think about margins going forward. I know you mentioned a couple of times that revenues are expected to ramp through the balance of 2024 and into 2025. Should we expect there to be maybe a bit of delay in margin expansion due to the catch-up that's going to need to take place in Hawaii and the Grand Bahama?
Scott Thanisch: Well, we do expect margins to continue to improve. They're not going to just immediately spring up to those target ranges that we've kind of talked about. But we do expect as the activity levels on those delayed projects come up and they're absorbing more of the cost, the indirect cost, we'll see gross margin improvements there. So we'll -- I would say that as you look forward into the projections, steady kind of progress on margins as opposed to just kind of seeing the immediate realization of the single-digit and the double-digit goals.
David Storms: Understood. That's very helpful. And then just on the SG&A expenses, it sounded like a couple, a little bit of increase year-over-year, maybe onetime in nature. But Scott, I know you mentioned there's going to be maybe a little more IT spending and a little more expenses coming from business transitions. Should we expect that, call it, 11% low double-digit run rate -- low double-digit SG&A expenses as relative to revenues via fair run rate?
Scott Thanisch: I think that you'll see the percentage come down as the revenue ramps more quickly. But I think that in absolute terms, you kind of consistent with what you saw in the second quarter would be a good assumption.
David Storms: Sounds great. Thank you. And then just one more, due to some of the interruptions at your larger projects, do you expect any impact on, call it, the Port Everglades project or the Port of Tampa project? Is there going to be any impact to those newer projects from those interruptions do you think?
Travis Boone: No, we don't foresee anything, Dave. Those projects are starting off well and seem to be on track. I don't anticipate anything on -- coming up on those that cause any issues. I guess I'll add to that and say it is construction. There are a lot of variables in the field and -- but we don't anticipate anything.
David Storms: Understood. Thank you very much and good luck in the next quarter.
Travis Boone: Thanks, Dave.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Travis Boone for any closing remarks.
Scott Thanisch: Before Travis says that, I realized that in our press release, the EPS is not listed there, just the EBITDA. So the EPS range that we're expecting is adjusted EPS of $0.07 to $0.20 for 2024. Sorry, go ahead, Travis.
Travis Boone: Thanks, Scott. Thank you, everyone, for joining today. We appreciate your time. In closing, I just want to thank you -- thank all of our employees who are working really hard in our business every day to work safely and to work profitably and bring the best they can to work every day. Also, I want to thank our shareholders for their continued confidence in us, and I look forward to our continued growth in the second half of the year and going forward. Thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.